Operator: Good day, everyone and welcome to the SNC-Lavalin's Second Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Denis Jasmin. Please go ahead.
Denis Jasmin: Thank you. Good afternoon, everyone and thank you for joining us today. With me today are Neil Bruce, President and CEO; and Sylvain Girard, Executive Vice President and CFO. Our earnings announcement was released this morning and was posted -- a slide presentation on the Investors section of our website. If I am not using today's webcast, please ensure to open the presentation as we will refer to it during this call. The recoding of this today's call and webcast will also be available on our website within 24 hours. [Operator Instructions]. I would also like to draw your attention to Slide 3 of the presentation. Information in this presentation and remarks made by the speakers today will contain statements about expected future events and financial results that are forward-looking and therefore subject to risk and uncertainties. These forward-looking statements represent expectation as of today and accordingly, are subject to change. Result may differ materially. We disclaim any obligation to update any forward-looking statements except as required by law. A description of the risk factors that may affect future results is contained with the company's MD&A available on our website and in our filings with the Canadian securities administrators. During today's call, we will also discuss certain non-IFRS financial numbers. You can find reconciliation of these numbers with comparable IFRS measures in the presentation and in our MD&A. With that, I will turn the conference over to Neil Bruce. Neil?
Neil Bruce: Thank you, Denis and good afternoon, everyone. On today's call, I will briefly review our Q2 results and discuss the performance of our 4 sectors. Sylvain will then cover the recent transaction in our capital group and the Q2 results in more detail. First, let me say that I'm very pleased with our recent achievements as we continue to deliver on our growth and capital allocation strategy. We have completed 3 important transactions in and just after the quarter. The transformational acquisition of Atkins, the creation of a new infrastructure investment vehicle and the sale and leaseback of our head office. Concurrently with these transactions, we delivered another good quarter. I will cover our Q2 performance first and then come back to talk about the Atkins acquisition and the associated revised guidance for 2017. As you can see on Slide 4, our net income attributable to shareholders for Q2 2017 was $136 million, a 53% increase compared to Q2 2016. Adjusted net income from E&C was $64 million or $0.43 per diluted share. And SG&A expenses continued a positive trend with a further 7.9 decrease in the quarter. General and administrative expenses decreased by $19 million or 12%, while selling expenses increased mainly due to the higher business development investment on a number of key major bids here in Canada. We also booked $1.4 billion in awards in the quarter for a total backlog of $9.6 billion and our cash balance was $737 million at the end of June. Let's now look at each of the sectors starting at Slide 5. Our Oil & Gas sector maintained a solid backlog at the end of Q2 with approximately $1 billion in bookings since January as we continue to sign or grow long term framework and master agreements with our established clients. While the EBIT margin was impacted by some accounting provisions in the quarter, we expect that we will return to a more normal run rate in Q3 and Q4. We believe that a normal long term EBIT margin for the sector is between 6% and 7%. We're also encouraged by many large EPC and sustaining capital projects and opportunities ahead particularly in the Middle East and the United States. Turning to Slide 6. We continue to see positive signs in our Mining & Metallurgy sector and we're very pleased with the backlog trend. The backlog has more than doubled since Q3 2016 and we expect it will continue to increase in the second half of the year as we have just received a notice to proceed for a large ammonia EPC contract in Oman. Revenues are expected to increase in the second half of 2017 as we're ramping up on our recently awarded projects. And EBIT performance is a healthy 8%. Looking ahead, we're encouraged by many prospects and opportunities ahead for us particularly outside of Canada. Moving to Slide 7. The power sector continues to do well with a trailing 12-month EBIT margin of 8.3%. One of the reasons for this good performance is the change of mix. After a detailed review of our activities and profitability, we have decided to put more focus on nuclear, hydro and renewables and be more selective within thermal power and Transmission & Distribution. Looking ahead, we continue to see large opportunities in global nuclear and renewables. We believe that there is significant growth in nuclear investments through life extensions, sustaining capital and decommissioning, with a few potential new-build opportunities, all of which we're well positioned for, particularly now with Atkins nuclear capabilities added to our own. We also believe that the solar and wind energy markets continue to grow and continue to significantly evolve. Now turning to the infrastructure sector on Slide 8. This sector continues to perform well and we're pleased again this quarter with their stable execution performance and EBIT margin. Bidding activities continue to be very strong particularly here in Canada. A number of billion-dollar-plus projects should be awarded between now and the end of the year. We also believe that we're well positioned now with the recent acquisition of Atkins to compete for long term framework and master agreement opportunities around the world. And lastly, let's turn to Slide 9 which Sylvain will discuss in more detail in a moment, but let me just say that I'm very pleased with the recent announcement of the launch of our new infrastructure investment vehicle. This took longer than we had originally expected, but it is important that we set this up in the right way to maximize value creation. This is an important milestone for our capital group that demonstrates SNC-Lavalin's full life cycle expertise and ability to create significant value. It reflects our active approach to managing our asset portfolio in a way that optimizes shareholder returns and keeping with the company's strategic objectives. In addition, this will allow us to efficiently deploy capital back into new development opportunities. In summary, we delivered another good quarter with good performance from our infrastructure and power sectors and our capital group. Concurrently, we continue delivering on our growth and capital allocation strategy by completing 3 important transactions. This has led to an increase of our guidance for 2017 which is a combined guidance for Atkins and SNC-Lavalin. We're increasing our 2017 outlook which was $1.70 to $2 to mainly reflect the Atkins acquisition to an adjusted diluted EPS from E&C range of $2 to $2.20. Please also note that the previous outlook would have been $1.57 to $1.85 on a like-for-like weighted average number of outstanding of shares basis. Our new 2017 outlook includes 6 months of Atkins operations, cost synergies and related acquisition-financing costs. I look forward to the next earnings quarterly call which will include Atkins firstly quarter results with SNC-Lavalin. With that, I'll pass the call over to Sylvain to go over our financial results in more detail.
Sylvain Girard: Thank you, Neil. Good afternoon, everyone. And continuing on Slide 9, we're pleased to have launched at the end of June our new infrastructure investment vehicle called SNC-Lavalin Infrastructure Partners. This partnership will initially hold the portfolio comprised of SNC-Lavalin's interest in the following five assets, the William R. Bennett Bridge, the Canada Line, the Southeast Stoney Trail, the Restigouche Hospital Centre and the MUHC Glen site. Concurrently with the creation of the partnership, SNC-Lavalin entered into a strategic agreement with a Canadian subsidiary of BBGI which will purchase 80% of the partnership for approximately $185 million, while SNC-Lavalin will hold the remaining 20%. SNC-Lavalin will retain the long term operation and/or maintenance of these assets and for a management fee, will act as the general partner and manager of the partnership. As you can see on this slide, the fair value established as a result of this transaction will represent approximately 1.9x the net book value of these assets. As for Highway 407, we're again very pleased with their quarterly results. Revenues increased by 14% in Q2 2017 compared to Q2 2016 while traffic continued to increase. Note also that our quarterly dividend from Highway 407 was increased from $34.8 million to $36 million in July. Now turning to Slide 10. Total revenues for Q2 2017 totaled $1.9 billion compared to $2.1 billion for Q2 2016. The variance was mainly due to lower E&C revenues particularly from infrastructure following the sale in the fourth quarter of 2016 of the company's noncore real estate facilities management business in Canada and of its local French operations. Excluding the impact of these divestitures, revenues from E&C were in line with the corresponding period of 2016 as the increase in revenues from infrastructure was offset by a decrease in Oil & Gas and Power. Revenues from capital for Q2 2017 totaled $67 million compared with $58 million for Q2 2016, primarily due to progress on certain capital investments and an increase in the dividends received from Highway 407 ETR. Total SG&A expenses in Q2 2017 amounted to $185 million, 8% lower than Q2 2016. This decrease was mainly due to the ongoing success of the Operational Excellence program that was launched in early 2016. As Neil mentioned, we have reduced our total G&A by 12% which was partly offset by investments in business development activities essentially due to higher proposal costs for bids on large-scale Canadian projects in the Infrastructure segment. The adjusted EBITDA from E&C amounted to $87 million in Q2 2017, with a margin of 4.6%, lower than Q2 2016, reflecting lower EBIT margins in the Oil & Gas and Mining & Metallurgy segments. Net income from E&C was $87 million or $0.58 per diluted share in Q2 2017, up 66% versus Q2 2016. The higher net income from E&C was mainly attributable to the favorable impact of the net gain of $105 million generated from the disposal of our head office building, increased contribution from power and infrastructure and lower corporate SG&A, partially offset by lower contributions from Oil & Gas and Mining & Metallurgy and higher restructuring costs. These restructuring costs were mainly for severances in the Oil & Gas segment resulting in a delayered and more simplified structure. Adjusted net income from E&C in Q2 2017 were $64 million or $0.43 per diluted share, compared to $71 million in Q2 2016 or $0.48 per diluted share. The decrease was mainly due to a lower segment EBIT partially offset by a low effective income tax rate and a decrease in corporate SG&A expenses. Net income from capital was $49 million in Q2 2017, compared to $36 million for the corresponding quarter in 2016 mainly due to a $5 million gain on the dilution of our interest in the MUHC concession as well as the partial decrease of its related loan. Following these 2 transactions, the company's ownership interest in this concession is now 50% compared to 60% previously and was completed in parallel with the newly created invest infrastructure vehicle. Capital results were also better in Q2 2017 due to an increase in contributions from certain capital investments and higher dividends received from Highway 407 ETR. Our revenue backlog totaled $9.6 billion at the end of June and our cash and cash equivalent stood at $737 million or $782 million if we include the cash classified under held for sale. Please note that the June 2017 backlog does yet include the Atkins revenue backlog. In addition, the June 2016 backlog included approximately $1 billion of revenue backlog from the company's noncore real estate facilities management business in Canada and local French operations. You will recall that these businesses were sold in December 2016. I will shortly get into the backlog in cash in more detail. Now turning to Slide 11. We see that the Q2 2017 Power and Infrastructure EBIT performances were higher than in Q2 2016, while Oil & Gas and Mining & Metallurgy were lower. The $42 million variation in Oil & Gas was mainly due to a decrease in the gross margin ratio and a lower level of activity, partially offset by lower SG&A. The Q2 2017 Oil & Gas EBIT included provisions on aged receivable in Venezuela and delays in commercial settlements on certain projects in the Middle East. As Neil said, we expect the Oil & Gas EBIT margin to return to a more normal run rate in Q3. Looking at our power sector, we had a $14 million increase which was mainly due to an increase in the gross margin ratio and lower SG&A, benefiting from an improved business mix and performance on projects, partially offset by a lower level of activity. Also, Q2 2016 Power EBIT included an unfavorable re-forecast on a now-completed project. Note that starting in the third quarter of 2017 and for the balance of the year, we will report Atkins separately as a fifth E&C segment. Moving on to Slide 12. Our diversified revenue backlog at quarter end totaled $9.6 billion. The breakdown by contract types was in line with 2016 with 45% reimbursable contracts and 55% in fixed-price contracts. Bookings for the second quarter were $1.4 billion totaling to $.6 billion year-to-date. As earlier mentioned, the June revenue backlog amount does not include Atkins revenue backlog yet. As the backlog methodology is calculated differently in each company, particularly due to Atkins book-and-burn business model, we're currently evaluating and reviewing our backlog reporting policy. Overall, we continue to be pleased with our high-quality and diversified backlog. Turning to Slide 13. Our operations essentially used $82 million in cash in Q2 2017 in line with Q2 2016, mainly from a higher working capital usage and lower EBIT from E&C partially offset by a decrease in cash tax paid. We see that last year, Q3 and Q4 were positive operating cash flow quarters and we expect the same trend this year. The right-hand side of this slide identifies the main components of the decrease in cash. Other than the cash flow from operations, we see that the cash movements were caused by our CapEx spent mostly related to projects and our quarterly dividends, partially offset by the proceeds from the disposal of our head office building. This quarter, we also had a change -- a charge associated to a foreign exchange option that has the purchase price for the Atkins acquisition. Note also that in May, we amended our existing $4.25 billion revolving credit facility and term facility emerging both into one single credit agreement. We have reduced our committed facility but increased our bilateral facilities on which most of our letter of credits had been transferred, resulting in more availability and creating a more cost-effective and flexible structure. If we include the equity and debt issuances and credit facility draw we made on July 3 for the acquisition of Atkins, pro forma records that over total capital would be approximately 31%. Now moving on to Slide 14. We're increasing our 2017 outlook range for the adjusted diluted EPS from E&C to $2 to $2.20 compared to the previous outlook of $1.70 to $2. Note that this previous outlook would've been $1.57 to $1.85 on a like-for-like weighted average number of outstanding shares basis. This 2017 outlook includes 6 months of Atkins operations, including cost synergies and related acquisition-financing costs. This also assumes a weighted average number of diluted outstanding shares of approximately $163 million. While we anticipate our revenues to decline year-on-year due to continued market challenges this year in some of our segments, we expect to benefit from our recent restructuring savings program. We expect increased segment EBIT margins for all segments in 2017 compared to 2016, except for Mining & Metallurgy which is expected to remain flat in 2016. This concludes my presentation. We can now open the lines for questions. Thank you.
Operator: [Operator Instructions]. And we will take our first question from Yuri Lynk at Canaccord Genuity.
Yuri Lynk: Neil, how do you feel about the quarter, for what it's worth, versus my expectations, the bottom line was as expected, but the tax rate really helped that. I thought EBITDA was a little bit light. So how did the quarter play out relative to your expectations of, say, 3, 4, 5 months ago?
Neil Bruce: I'd probably sum it up as, I mean, overall, I think, there was a lot going on and we achieved a lot. But I think 2 significant pieces is, I think, I would have been a lot happier if we didn't have the provisions that we took in Oil & Gas and we can talk a little bit about that offset by tax. I mean that's the key bit. I think I would've been really, really happy with what the quarter if Oil & Gas in the quarter wasn't running at 3.6%. That it was actually at the sort of run rate that we've talked about before of 6.5%. And I think the 2 pieces that Sylvain talked about in terms of Venezuela which is old, old contracts, but also we're caught slightly in Oil & Gas in the Middle East to a far lesser degree. But still similar symptoms in terms of we're working to do the commercial issues in the Middle East, similar to Q3 last year. And it just doesn't line up with the quarter. So effectively, we do expect to -- for that to return and for us to move back to a similar quarter. So I think, overall, if Oil & Gas would be running at 6.5%, I would have been really happy with the quarter.
Yuri Lynk: Right. So it just so happened that the tax -- I mean, I guess, it just so happened that the tax benefit was a bit of a coincidence that it happened in the same quarter as Oil & Gas? I mean you weren't -- you didn't set your guidance in March, thinking we're not going to see tax too?
Neil Bruce: No, no, no and we didn't -- no, we didn't expect to -- we didn't expect either in March. I mean, in terms of tax, it's not -- I think there's a bit more to that. I don't know if...
Sylvain Girard: Yes, I can do that. I can describe, Yuri, if you want, some of the elements in the tax and clearly on an overall E&C basis, the building sale is substantially considered a capital gain kind of gain, so it's basically tax that have the statutory rates so that clearly drives the rate down. But we also had, as we're working through different international tax planning activities, we managed in the quarter to release a deferred tax liability that had been created so that created some upside as well. And then lastly, we had a recovery which on amounts are charges that previously had not been tax affected because at the time, we had to work through the deductibility of those. And through the quarter, we managed to get more certainty on that and that also accounted for some benefit on the tax rate.
Yuri Lynk: Okay, that's fair. Are you able to -- is this Middle East issue just going back to Oil & Gas? Is this the same 2 projects that gummed up Q3?
Neil Bruce: It's the ongoing commercial piece, same, same contracts.
Yuri Lynk: Okay. I'll just slide one last one in. Can you give us an update on the Champlain Bridge project and how it's going. It's a concern to some investors given that some of the headlines about it being a little behind schedule. So maybe an update on how it's going and your current profit and revenue recognition on that project?
Neil Bruce: So I think a lot of the issues that we're facing there are pretty well publicized. I mean, they've been repeatedly in the local press on a continuous basis. So I think that's well-known and so it is challenging. It's more challenging than we expected it to be a year ago and we're working with a customer and we're still leaning for -- to try and hit the overall scheduled date. But it is challenging in terms of a lot of issues which I think have been well publicized.
Yuri Lynk: Right. I guess, I'm just trying to understand if, are we recognizing profit as we go here or it's just how you're provisioning for that project now?
Sylvain Girard: Yes, so we're still recognizing revenues and we're still recognizing margins so we've not posted a reserve or a write-down to the project at this point. Clearly, we're constantly looking at the transportation issue and how we account for that but it's not resulted in a write-down of the project at this stage because of the position we feel we have as it relates to this matter.
Operator: And we will take our next question from Anthony Zicha from Scotiabank.
Anthony Zicha: Could you please provide an update on the Atkins acquisition? Is it on plan? Is it better than what you expected? And could you also give us a bit of insight on the European opportunities, U.S. opportunities and where do you see some solid cross-selling opportunities?
Neil Bruce: Okay. All right, so if we sort of go back in terms of the original communication, I mean, we were aiming to complete in the third quarter. That was a reasonable schedule, but we were constantly looking for the earliest possible date. Some of that was driven by regulatory filings that we had to do in various jurisdictions and the likes and some other pieces that we had to complete. We actually achieved the earliest possible date. So the 3rd of July was the earliest possible date that we could do it and that's actually what we achieved. We then spent that first week in terms of half of our team together with the Atkins team and then a week after that, we started the integration planning process. So we'd worked on integration plan, obviously, in isolation and then we started discussing the integration plan and the synergy capture with our Atkins colleagues the week after. So we're well into that. We're very confident about what we have previously published which is effectively the $120 million synergies by the end of next year and $30 million synergies by the end of this year and we're well on track, probably ahead of schedule actually, in terms of identifying these, implementing and delivering. So ultimately, I think it's going just about as well as it could at the earliest possible dates on that, so that's all working well. And ultimately, that's the bedrock and the piece and the data that we're using in terms of adding to our E&C business that enables us to be able to give the revised guidance. So that's all the backup for us, so effectively 6 months minus 3 days of full trading. In terms of the opportunities, I mean, the opportunities that really come forward and the things that we're already working on is that we're working in partnership between SNC-Lavalin and Atkins on a couple of big and real opportunities in the Middle East, the rail metro opportunities in the Middle East. There's opportunities for us to take on bigger roles in infrastructure but specifically again on Rail & Transit projects. I mean, huge investments are being made in the U.K. both in terms of Rail & Transit but also in terms of nuclear. And then in terms of our global capability in the nuclear space, the combined forces of SNC-Lavalin and Atkins in nuclear provides, I think, a real opportunity for us to be a leading player both in terms of working on CANDU technology related whether it's life extensions, whether it's sustaining capital or ultimately through a new build, but it also gives us the opportunity to work on other elements of engineering services and decommissioning that is non CANDU technology related, so that's a bigger opportunity. And then of course, we also have the opportunity as well to bring Atkins capabilities and services into the Canadian market to further strengthen our position across some of the major infrastructure projects that are currently being bid in Canada.
Operator: And we will take our next question from Jacob Bout from CIBC.
Jacob Bout: Just going back to the Oil & Gas EBITDA and the 2 issues that you pointed out, the aged receivables and the commercial settlement, can you just quantify what the impact of each one of those was? And then for the delays in the commercial settlement, can we expect an offset here in the second half of this year?
Sylvain Girard: Jacob, I'll take the first half of your question and then Neil can comment a bit on the progress we expect from that. So on the Venezuela item, it's about $12 million bid and then the Middle East project related stuff is about $15 million. So if you take those back into the numbers, you are at about 6 -- 6.5% to 7% margin. I think it's more like 6.9% or something like that.
Neil Bruce: And then, ultimately, on the commercial piece in the Middle East. I mean we do -- this is not new items. This is ongoing commercial discussion that will take a long time. And ultimately, we do expect for us to get that in terms of it to return and that's why we're stating that we're still confident that the average margin and the run rate that will return to a normal run rate of about 6.5%.
Jacob Bout: Will there be some leakage then into the third quarter?
Neil Bruce: I don't know. I don't think so. I don't expect that.
Jacob Bout: And then maybe my second question on backlog. So a bit of a decline there from last quarter. Can you just talk a bit about how you handle maintenance work, the MSA work within your backlog? And is there kind of a mix issue there with that? Or are you just seeing more maintenance work?
Sylvain Girard: Well, I guess it depends, maybe I can describe a few things and see if that answers your question. So in our O&M business, we will recognize backlog up to 5-year of expected work. That's how we'll do that, so that's our method. On MSA, I guess, it depends on the nature of the MSA. So some will recognize a year at a time. Others depending on the nature of the work, we might recognize up to 5 years, I guess, as well. I don't think that's really what's going on in the numbers coming down. I mean, I think it's really more timing of awards where we have a lot of bidding activity going on especially in the infrastructure segment and those we always thought they would be later in the year. So we're not that surprised by it. So as this is happening, clearly, our segments are eating through their backlog. There's also a bit of timing on the M&M side. We did, I think, just this week, we did announce an award on one project, so that should bring up the M&M backlog to a more expected level at this stage of the year. So I mean, that's more of the dynamic than any kind of mix between MSAs and larger contracts.
Jacob Bout: And then any comments at all on the WS Atkins backlog kind of thumps up, thumped down, what you're seeing in the U.S. and the U.K.?
Neil Bruce: Well, I think what you'll find, the reason we referenced that is what you'll find is the vast majority of our contracts are clearly more service orientated and a lot smaller. They really don't talk much about backlog. I mean, that's never really something that's -- it's not KPI in terms of -- it's never been a KPI really in terms of their investors. They don't look at that too much because a lot of it is more service orientated, book and burn as they go through so, but we'll give more detail. We will give more detail on that, I mean, I think people should be aware that we're planning and we're going to have a capital markets day on September 12 and all of our operational management will be there and we'll be able to fully discuss and explain the differences between the whole backlog piece and whether that's quite as important as it's traditionally been for the Atkins business and how we're going to bring a lot together. I mean, there's also actually up-and-coming accountancy changes that could actually also change either the nature of and the numbers of what's in the backlog. But the one thing I would say, though, is that just to be clear, I mean, from a backlog perspective and the decrease in the backlog, that does not concern me one bit because as Sylvain said, we're building a number of really large projects and that backlog number could be up by a couple of billion in the next quarter that are -- depending on the timing and the contract awards. So I'm not concerned at all about the backlog number.
Operator: And we will take our next question from Devin Dodge from BMO Capital Markets.
Devin Dodge: Just start with the Power segment, really impressive margin performance this quarter. Just is it really what you expect this type of margin performance going forward? Or are there other things that we should be thinking about such as maybe that impacted the quarter such as like project closeouts or...
Neil Bruce: Well, I mean, the Power segment, I think, is as we sort of mentioned earlier, I mean, it's really been driven by the mix change so the more work that we do the higher percentage within power that is nuclear will actually drive the margin up. And that's really what's driving it. And I think ultimately as well, we're being very, very selective around the work that we will continue to do in the thermal and the T&D space as well and we're looking to do more services where we have the opportunity within these 2 sectors or subsectors than we've done traditionally. So that's the main thing that's driving the power margin.
Devin Dodge: Okay. So I guess sticking with the nuclear business. As your refurb work at Darlington [indiscernible] ramped up to kind of a steady state. I think you mentioned some business in Latin America as well. I'm just trying to understand like how sustainable is this revenue mix that's currently in that Power business?
Neil Bruce: Well, the other great thing about the nuclear contracts is, I mean, effectively, it's very long term. So we've got as long as we deliver on the refurb piece and continue to deliver on the refurb piece then you're talking about the next 10 years, if we get into anything around nuclear new builds which is always slightly dangerous to forecast, a nuclear new build because they tend to go to the right. But ultimately, if not, if the contract that we're incredibly well positioned for in Argentina gets kicked off. I mean, that's really long term as well. So most of the work within nuclear are certainly in the SNC-Lavalin side is very long term. Atkins has a bit in the mix of short term consultancy service type work in the nuclear arena, but they've also got a great capability in decommissioning which came from the acquisition that they made with energy solutions. So again, decommissioning contract tend to be 5, 10 years too. So I mean, the real appeal about nuclear for us is it is higher-margin work and it is long term.
Devin Dodge: Okay, okay. That's helpful. And then just to come back to the Oil & Gas business. Just are there other any receivables on the books from projects in Venezuela, like, remaining? And just second part of this. Can you talk about your business in Qatar and any potential impact there from some of the actions taken by -- from other players in the region?
Sylvain Girard: I can take the -- I'll take the first part of your question. So on Venezuela, yes, there's still remaining book value. We've basically taken an approach to value that's based on aging and collectibility that we assume. Now the large bulk of what we had is really old and it's written down to a fairly low value at this stage, but there is still a value and kind of look at a bit market comps and there's not a lot of comps out there in terms of trades and stuff like that on AR or promissory notes and things like that, so that's basically how we took a hit during the quarter. I think those dropped in value, basically. So that's the most part of the exposure that we have, there really old receivables. We have, I guess, also older receivables maybe not as old as those that are more part of the JV arrangement that we had for some work we did there and those are more reserved on an aging basis. We still hope to collect those as this JV kind of gets some cash back into it, but we're taking a prudent approach on that and as it age, we'll take provisions, but it's not a huge amount either.
Neil Bruce: Yes, in terms of Qatar, we're clearly monitoring all of that potential impacts on the work that we're doing there. But to date, we really haven't seen any -- we've seen no significant impact on the work that we're currently doing in Qatar. But we'll continue to monitor that, hopefully, can be resolved and it doesn't go on for too long.
Operator: And we will take our next question from Maxim Sytchev from National Bank Financial.
Maxim Sytchev: I just had a follow-up question on Oil & Gas. Neil, the 6.5% EBIT margin that you're guiding to, is that a medium term expectation or it's really kind of Q3, Q4 normalization that you're expecting?
Neil Bruce: Certainly, that's what we would expect going forward. I mean, we've -- the oil and gas market as everybody is aware, I mean, really difficult and there's been huge margin pressures from clients right across the board. We're not assuming that either for the remainder of '17 or ultimately in the long term that there's going to be any return to anything above $50. Therefore, the behavior in the interaction with customers isn't really going to change. And based on that and the actions we took in terms of cutting down on our G&A within Oil & Gas, that's the effectively the mechanism that's got us to a view that 6.5% is a fairly stable, reasonable rate for the remainder of this year and hopefully for longer than that.
Maxim Sytchev: Right. And then correct me if I'm wrong, but the Middle East collection issues, I mean that seems to be been hitting the industry over the last couple of years. Is that just because your contract structure were slightly different relative to your competitors who have faced those dynamics a bit earlier? Or why are we seeing this now because, again, when I look at some of the columns that's actually collecting more often than not unless there is a specific issue on those contracts?
Neil Bruce: No. I think, again, we're aware of a lot of the industry dynamics where competitors are finding it difficult to get paid in the Middle East. This is not about client not wanting to pay. This is about the ongoing commercial discussions and arrangements. It's as we explained a little while ago, I mean, there are complex unit with contracts. If we're responsible for the productivity not responsible for the quality and it's just an ongoing thing and it just isn't where it's big and complex, it really doesn't fit into the nice quarter like quarter by quarter by quarter forecasting and reporting. And we expect it to even out over the longer period, but we will have blips on a quarter-by quarter basis on this type of contract is highly likely, but we do expect it to even out sort of right across the board.
Maxim Sytchev: Okay. Can you maybe comment in terms of bidding opportunity in Oil & Gas right now? What are you guys seeing?
Neil Bruce: Well, again, the main activity areas at the moment does tend to be the bigger, wider Middle East and the U.S. lower, lower end midstream petrochemicals areas and ultimately in the sustaining capital arena. I mean, our sort of big challenge looking sort of way further into the future is that we completed the Gorgon -- substantially completed and started the demobilization of the Gorgon garden project at the end of the year. We managed to replenish the backlog from that, but we will also be completing -- within the next year, we'll be completing on the INPEX projects. The 2 big scopes that we've got on that and we need to continue to replenish the backlog as well. So I think -- so the bidding activity and where we're going is sort of looking pretty promising for next year. But the following years, we still got a fair bit of work to do in terms of the whole bid opportunities and the work that we need to do in the longer term.
Maxim Sytchev: Okay, now that's helpful. And I just wanted to circle back to Champlain discussion. Correct me if I'm wrong, but it used to be the level of confidence is a bit less and there is no sort of execution issues. And is there less confidence in terms of hitting the time line to complete the project or the confidence in terms of addressing the cost sort of overrun with the federal government? Can you remind me of jest specifying what's you're seeing or what you're telegraphing?
Neil Bruce: Yes, again, we don't want to go into the nitty-gritty details of the issues on the project because actually an awful lot of it and it's not just from us. I mean, I think you can see a lot of the issues around transportation and the likes have been very well publicized but not just on the Champlain Bridge but on a number of projects and a number of activities within Québec. So we think there's some clear remedies that need to be put in place and we're discussing that with the client on a continuous basis and ultimately, we've also given our commitment that we're going to do everything we can possibly can to ensure that we try to meet the overall schedule date.
Maxim Sytchev: Okay. So right now you're obviously on a critical path in line with your expectations because otherwise you wouldn't have provisioning. Is that sort of the right way to think about it?
Neil Bruce: There's not a lot of leeway. We're definitely on a critical path.
Operator: And we will take our next question from Benoit Poirier from Desjardins Capital Markets.
Benoit Poirier: I was wondering first thing in terms of restructuring and transaction cost, what should we be expecting in Q3 and beyond.
Sylvain Girard: There is a little bit left to come, but I think we're through the most of it at this stage of the year, so you should not expect a whole lot on restructuring. On transaction costs, we've had, I mentioned the option, so what you'll see more in the second half will be related to the integration related cost to execute the synergies that's why you'll see more of and what we've indicated was kind of a 1-year payback around the synergy amount of $120 million. So that's what we'll be spending during the second half of the year, not in its entirety.
Neil Bruce: Yes, I mean, again, when we talk about $120 million, we expect to realize $30 million this year and $90 million the following year. And in terms of the 1 4 1, we see that evenly split because between the second half of '17 and the full year and '18 because obviously we want to get on with taking the actions that we need to take as soon as possible in order to ensure that we do get the synergy benefits.
Benoit Poirier: Okay, so given what you took in Q2, what should we expect in the second half as you say?
Sylvain Girard: It's the piece of the $120 million, so half of the $120 million would be -- we just expect. There will be some of the closeout cost as well of the transaction because the transaction closed on July 3, so there's going to be some transaction cost as well coming through.
Benoit Poirier: Okay, okay. Perfect. Okay and any more color on the timing for monetizing other assets that you're looking at in your new fund?
Sylvain Girard: Yes, the only thing I can say is when we look at the 5 assets, they're not yet in the fund. So we're hoping to get the first 4 in there by the end of this quarter, Q3 and then MUHC by end of year. That's the current plan. In terms of other assets going into it, it's not this year.
Benoit Poirier: Okay, perfect. And last one for me, could you give an update on deferred prosecution agreement, a DPA and what kind of expectation you have going forward?
Neil Bruce: I mean, the -- we believe that there's soon-to-be consultation within Canada so there will be consultation and whole lot so from that perspective we see that as a positive. And we continue to pursue our talks wherever we can. We clearly look to engage to keep putting forward and the fact that we believe that it's having a legal, level-playing field with our competitors is something that we believe that Canada should implement and should want. But the public consultation should start too.
Operator: And we will take our next question from Frederic Bastien from Raymond James.
Frederic Bastien: Just wanted to go back on the new -- on SNC-Lavalin Infrastructure Partners. It would be possible to get a bit of guidance on how to think about it's going to be modeled on a go-forward basis? Within that book value of the investment dropping from about $400 million to $250 million. Would it be fair to say that the segment's earnings contribution will decrease by roughly the same amount or the same percentage?
Sylvain Girard: I have to run the math on that. Yes.
Neil Bruce: If you exclude, I will force again the net income from their ICI that is so small.
Frederic Bastien: Oh, yes, if you exclude the 4 0 7 for sure. It's been running at $8 million, $9 million on a quarterly basis.
Neil Bruce: So your question is, is that going to be running at $4 million now? Is that what you want to know?
Frederic Bastien: Yes, roughly. I mean, do we see a drop of $2 million, $3 million on a quarterly basis?
Neil Bruce: I can get back to you on...
Sylvain Girard: We'd have to get back because we didn't calculate it that way but...
Denis Jasmin: So just on the capital markets day on the 12th of September, we will also have the capital group there as well and so we'll be able to talk through the fund and everything else within the capital group and a lot more detail on that date.
Sylvain Girard: Frederic, I just wanted to say that the net income may go down, but we're going to get some management fees so that's why I'll get back to you.
Frederic Bastien: Okay, no problem. And then on the Power segment obviously, you touched on this already. You're getting more favorable margins to the mix and is it possible for you to give us sort of a margin guidance like you are doing with the oil and gas segment in terms of is, is this a business that we should generating high single-digit margins on a go-forward basis?
Neil Bruce: Yes, certainly should. We certainly should. And I mean the reason we're slightly reluctant is because of the whole mix piece. I mean, if it was -- if all we did there nuclear then it would be a bit higher again. And the reason we're a bit more specific about the oil & gas piece is that we know that the resources sector is a challenging sector, so we just want to be sort of really clear about how we see that sector beginning -- continuing to progress.
Frederic Bastien: Great. And are you having discussions with Bruce Power on potential future work there?
Neil Bruce: Yes. Yes, it's an ongoing piece and we've been successful on some of the work elements and we continue to talk to them about far bigger opportunities as well.
Operator: And we will take our last question from Michael Tupholme from TD Securities.
Michael Tupholme: With respect to the Oil & Gas segment, was there any associated revenue impact due to the issues you mentioned in the quarter?
Sylvain Girard: A little bit on the -- not on the accounts receivable piece, obviously, but on the commercial settlement piece, yes.
Michael Tupholme: And has that...
Sylvain Girard: So it kind of slowed down basically.
Michael Tupholme: So the $12 million you mentioned?
Sylvain Girard: No, the $15 million. The Middle East commercial settlement was $15 million. Venezuela was $12 million.
Michael Tupholme: Okay, so that's the extent of the revenue impact as well?
Sylvain Girard: $15 million. Yes.
Michael Tupholme: Okay. And historically in the last several years since you've owned Kentz, we've typically seen a pickup in Oil & Gas revenues in the second half of the year so I think even if one were to adjust for the -- at $15 million, you're down a fair bit year-over-year in Oil & Gas in revenues. I know the backlog's down so that probably explains that. But should we expect a stronger second half than what we saw in the first half as we've seen in the last several years?
Sylvain Girard: Yes, a little bit. It should pick up as we've seen on the seasonal trend so it should follow something similar. Now we have some of the drop is obviously project completions we've had in Australia, as Neil mentioned earlier, so that's been causing the drop year-on-year so we'll suffer from that in the second half as well, but we should see a bit of a pickup.
Michael Tupholme: Okay. And then just lastly. Neil, I know you were asked about opportunities associated with the Atkins acquisition or the sort of revenue-related opportunities, but can you just talk a little about employee and customer reaction both within SNC employees and Atkins employees and then customer reactions from both companies to the transaction?
Neil Bruce: Yes. I mean, we've spent a lot of time on the engagement. The reaction that we've had from -- I think a fairly wide reaction in both companies is that this just gives us fantastic opportunities for people to do bigger, wider things with current customers, new customers. People get the strategic logic quite easily around we don't have a lot of overlap in terms of the work that we do, but we do have enough a lot of overlap across three of our four sectors. And it plays really well back into the ultimately from a geographic perspective. So most people see it not so much as potential threat, but as an opportunity to develop careers, do more exciting work or ultimately to work more globally rather than where both companies were prior to coming together which was within SNC-Lavalin. We were very big and great opportunities in Canada and the Middle East and within Atkins very much around U.K., Scandinavia and a little bit in the U.S. and the like. So the combination fits really well from a geographic, from a customer-base perspective. And we've had great reaction from some big key customers on both sides. So earlier, one of the questions was around Bruce Power. I mean, Bruce Power were very quick to recognize that adding Atkins to our capabilities within nuclear whether it's from skills and capability or even a capacity perspective put us in a completely different position from that. So that was really welcomed. And in the U.K., the customer on crossrail, again, I thought was a fantastic combination. We also got a call from the ex-CEO of Bruce Power, who is now looking at nuclear development within the U.K., again, who obviously knew us from Bruce Power and knew Atkins from the U.K. perspective and clearly thought it was a great combination too. So I've been in the main, it's not been 100% everything positive, but in the main, it's been really positive both from an employee and the client perspective.
Operator: And I am showing we have no further questions at this time.
Denis Jasmin: Thank you. As Neil mentioned, we'll also host an Investor Day on September 12 here in Montréal. Advanced registration is required to attend the event and space is limited. Further details and instructions to register will soon be available on our website. We hope you'll be able to join us. If you aren't able to do so, please note that the event will be webcasted and therefore you will be able to listen to the presentation live or in replay. Thank you for having joined us today. If you have any further questions, please do not hesitate to contact me. Have a good day. Thank you, everyone.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for your participation. You may now disconnect.